Operator: Good morning, and welcome to PACCAR’s Third Quarter 2014 Earnings Conference Call. All lines will be in a listen-only mode until the question-and-answer session. Today’s call is being recorded; if anyone has an objection, they should disconnect at this time. I would now like to introduce Mr. Ken Hastings, PACCAR’s Director of Investor Relations. Mr. Hastings, please go ahead.
Ken Hastings: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Ken Hastings, PACCAR’s Director of Investor Relations. And joining me this morning are Ron Armstrong, Chief Executive Officer; Bob Christensen, President and Chief Financial Officer; and Michael Barkley, Vice President, Controller. As with prior conference calls, if there are members of the media participating, we ask that they participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions that may affect expected results. I would now like to introduce Ron Armstrong.
Ron Armstrong: Good morning. PACCAR reported record quarterly revenues and increased net income for the third quarter of 2014. PACCAR’s third quarter sales and financial services revenues were $4.9 billion and net income was $371 million and after tax return on revenues of 7.5%. Revenues were up 15% and net income increased 20% compared to the results generated in the third quarter last year. These excellent results reflect increased truck deliveries in North America and records for quarterly sales of PACCAR parts and quarterly pretax profit at PACCAR Financial Services. I’m very proud of 23,400 employees who have delivered industry leading products and services to our customers worldwide. During the third quarter, PACCAR repurchased 581,000 shares of stock for $34.1 million. Under the current Board authorization of $300 million, PACCAR repurchased 5.6 million shares for $226 million. PACCAR delivered 37,400 trucks during the quarter, an 11% increase versus the second quarter of this year and 6% higher than the third quarter last year. This growth reflects increased truck deliveries in the U.S. and Canada due to many customers expanding their fleet and the ongoing replacement of older trucks. Industry orders for Class 8 trucks in the U.S. and Canada for the first nine months of this year were over 220,000 trucks, a 38% increase over the comparable period last year. Our customers are benefiting from positive economic trends that are generating record freight tonnage and higher fleet utilization. U.S. auto sales are projected to be over 16 million vehicles and housing starts over 1 million units this year. Other good economic news is that the U.S. unemployment gains this year have averaged 227,000 jobs per month and lower fuel prices are benefiting on customers’ operating costs. In Europe, it is encouraging that the UK economy, which is PACCAR’s largest market in the region, is expected to grow by about 3% this year. The Eurozone economies are projected to grow more modestly at around 1%. Year-to-date through September, freight in Germany as measured by the Maut toll system was 3% higher than the same period last year. During the third quarter, market registrations of Euro 6 vehicles continue to increase and were estimated to be about 85% to 90% of the industry. As a result, DAF’s market share increased to over 15% for the third quarter. Looking to the fourth quarter, we expect to increase global truck deliveries by 5% to 7% compared to the third quarter, reflecting an increased number of workdays in Europe and the continued strength of the North American Class 8 market. Fourth quarter truck gross margin should be slightly higher than the third quarter reflecting the benefits of higher production levels. U.S. and Canadian Class 8 industry retail sales are estimated to be in the range of 245,000 to 255,000 trucks this year, the highest level since 2006. The 2015 estimate for the U.S. and Canada Class 8 market is 240,000 to 270,000 trucks. For 2014, Europe’s greater than 16-tonne market is projected to be in the range of 210,000 to 220,000 trucks with our 2005 estimate at 200,000 to 240,000 trucks. Production of DAF trucks in Brazil was steady, with build rates expected to increase gradually in 2015. PACCAR’s Parts business generated record quarterly revenues of $784 million. PACCAR Parts’ quarterly pre-tax income was $128 million, an increase of 20% compared to a year ago. The strong results were driven by improved fleet utilization and the many innovative products and services offered by PACCAR Parts. PACCAR Financial Services revenues were $306 million in the quarter. PACCAR Financial’s pre-tax income was a quarterly record $97 million compared to $88 million earned last year. The improved results benefited from growth in asset balances and strong portfolio performance. PACCAR’s strong balance sheet and positive cash flow have enabled the company to invest over $2 billion in new products and facilities in the last three years. In the third quarter, DAF introduced many exciting new products at the Hanover truck show including the new DAF CF and XF Low Deck tractors and DAF CF and XF trucks with Predictive Cruise Control. Kenworth and Peterbilt launched the innovative additions to their product lineups including natural gas versions of the Kenworth T680 and T880 and the Peterbilt Models 579 and 567. Capital expenditures for 2015 are projected to be $325 million to $375 million, and research and development expenses are estimated to be $200 million to $250 million. The investments will enhance our global product ranges, aftermarket support and manufacturing facilities. PACCAR continues to enhance its leadership position in the global truck market by developing the highest quality products and services in the industry, investing in new geographic regions and providing excellent returns to our shareholders. I’ll be pleased to answer your questions.
Operator: (Operator Instructions). The first question comes from the line of Steven Fisher from UBS.
Steven Fisher - UBS: Hi, good morning.
Ron Armstrong: Good morning.
Steven Fisher - UBS: You’re just talking about some of the CapEx trends there. I’m wondering where are we in the investment cycle for parts distribution centers? And then how should we think about how much it would cost to spend into some of the newer regions that you’ve discussed? I’m just kind of wondering against that $2 billion you spent the last few years, are there any particularly big CapEx programs we should be expecting in the next couple.
Ron Armstrong: I think capital expenditures next year, if you look back at sort of our average spending levels have been in the $300 million to $400 million level on average. And I think next year will be a typical year with continued investment in parts distribution centers. We’re going to build a new parts distribution center in Renton, here in the Seattle area. We’ll continue to invest in new products and continue to invest in improving the efficiency of our manufacturing facilities around the world. One of the things that we’ll be doing next year is investing a new paint facility at our Westerlo plant in Belgium.
Steven Fisher - UBS: Okay, it’s helpful. And then in terms of fleet expansion, your customers and you seem to be calling out little bit more clearly this quarter. What have you heard from end customers that maybe different at this point?
Ron Armstrong: I think the fleets have taken some actions to track more drivers through increasing pay rates and other activities. And so, I think they are feeling better about being able to keep their trucks utilized and of course freight tonnage is at an all time high. So, the demand is there and we’re starting to see a little bit more willingness to make that fleet expansion.
Steven Fisher - UBS: Okay, great. Thank you.
Ron Armstrong: Thank you.
Operator: The next question comes from the line of Nicole DeBlase with Morgan Stanley.
Nicole DeBlase - Morgan Stanley: Yes, thanks. Good morning, guys.
Ron Armstrong: Good morning.
Nicole DeBlase - Morgan Stanley: So, my first question is around build rates. So you have been stepping up your build rates at your North American facilities. I’m just curious today where are we from a plant capacity utilization perspective. How does that compare to prior peak levels? And is there scope to take up your build rates further?
Ron Armstrong: We’re in good shape from a capacity standpoint. We have a fair amount of capacity remaining in several of our plants, in North America. So, we don’t see capacity being a limiting factor for our operations in the near term. And so in Europe obviously where I think we’re in good shape capacity wise as well. So we feel good about our capacity really in all of our markets around the world.
Nicole DeBlase - Morgan Stanley: Okay, got it. That’s helpful. Thanks. And then maybe the second one around pricing. How is truck pricing for you guys during the quarter and what’s your view on pricing as we move into next year, because as build rates increase, there could be the scope for pricing term prove in the industry? I’m just curious on your thoughts around that.
Ron Armstrong: Yes. Pricing has been pretty steady for us in the last 12 months. We talked about with Euro 6 coming on board early part of 2014, the market still remains at a relatively low level compared to some of the peak levels. So, pricing continues to be steady. And if there is some opportunity for market improvement as we go forward, maybe some opportunity for pricing realization. But I’d say steady is how we’re thinking about pricing as we go forward.
Nicole DeBlase - Morgan Stanley: Okay, thanks. I’ll pass it on.
Operator: Next question comes from the line of Steve Volkmann with Jefferies.
Steve Volkmann - Jefferies: Hello, good morning out there.
Ron Armstrong: Good morning. How are you?
Steve Volkmann - Jefferies: I’m well, thank you for asking. I hope everybody is good there. I’m curious about maybe sort of another way to think about this pricing thing. How far out are your delivery slots in North America these days kind of roughly?
Ron Armstrong: I mean, we’re pretty full for the rest of this year and then just starting to add to our backlog for next year.
Steve Volkmann - Jefferies: Okay. And did you have sort of a normal price increase associated with 2015? I assume you do that every year.
Ron Armstrong: There is typical adjustments effective with the model year change and so when that happens next year, there probably would be a list price adjustment that goes with that.
Steve Volkmann - Jefferies: Okay. Fair enough. And then are you seeing anything on the supplier side with respect to cost or tighter schedules as things ramp up, are they able to keep up with you and is that having any impact on your cost?
Ron Armstrong: Suppliers did a great job of supporting our build rate ramp up during the third quarter. And everything is running very smoothly at this point and we see no particular challenges with being able to continue to support that and commodity prices are relatively stable. So that’s obviously allowing us a stable cost situation.
Steve Volkmann - Jefferies: Okay. Thank you very much. I’ll pass it on.
Ron Armstrong: Thank you.
Operator: The next question comes from the line of Jamie Cook with Credit Suisse.
Ron Armstrong: Good morning Jamie.
Jamie Cook - Crédit Suisse: A couple of questions. As we think about 2014, you guys have had nice margin improvement on the operating margin line based on how it will trend for the year. The gross margins look like they will probably be more flattish for the year. As we look ahead, do you see further opportunities on the SG&A and R&D side to get operating margin leverage or going forward do the operating margin leverage really need to come more from the gross profit side or gross margin side and can you talk about your comfort level there? And then my other question is just on the markets. Can you talk about sort of the vocational side of the markets how much that was up year-over-year and sequentially? Thanks.
Bob Christensen: Well on the cost side, SG&A is -- I think we’ll continue to see comparable levels next year to what we’ve seen this year. So, I don’t see that -- if there is higher revenues that provides some leverage, but spending levels will remain relatively constant and R&D we talked about for next year, our range being in the $200 million to $250 million range as we continue to invest in new products, energy engine efficiency and other product enhancements. So again, that spending level will be in that range somewhere. So again, the leverage will depend on whether we have increased revenues or not to go with that. From a factory standpoint, we will see to the extent that build rates increase, we’ll see some operating leverage as a result of that. So, it’s a pretty typical operating leverage as we’ve seen over the years. What was the…
Jamie Cook - Crédit Suisse: The second question, so you feel comfortable you could get gross margin improvement next year?
Bob Christensen: I think it really depends on the volumes that we see. I think we see pricing has been steady and there is opportunity to get additional operating leverage with additional volume I think.
Jamie Cook - Crédit Suisse: Okay. And sorry the last question was just color on the vocational markets, what you’re seeing sort of sequential and year-over-year? Thanks.
Ron Armstrong: Sure. PACCAR does a great job with the vocational business. The vocational market in the North American continent is on order of 25% to 30% of the total market, probably up 5% to 10% year-on-year and our market share is in the 45% to 50% range. So, the good solid steady market for PACCAR. And in Europe the guys are working really hard to capture a larger share of that rigid or vocational business in Europe and certainly it’s an opportunity for us there.
Jamie Cook - Crédit Suisse: All right, thanks. I’ll get back in queue.
Operator: Question comes from the line of Andy Casey with Wells Fargo.
Ron Armstrong: Good morning Andy.
Andy Casey - Wells Fargo: Hey, good morning Ron. How are you doing?
Ron Armstrong: Great.
Andy Casey - Wells Fargo: Good. If I missed it, I apologize. Could you highlight what the truck shipments were in the quarter and then maybe by two of the regions?
Ron Armstrong: So, total deliveries were 37,400, so I don’t know. We’ll get the information by region, I have it here. So, 37,400 in U.S. and Canada; 23,500 Europe; 9,200 in the West Mexico, South America, Australia and other.
Andy Casey - Wells Fargo: Okay, great. And then on the 2015 industry sales outlook, I know it’s the initial view. But between the two primary regions, U.S., Canada and then Europe, which region do you think has the highest likelihood for upside risk at this point?
Ron Armstrong: Upside risk. I mean, I guess we feel good about the ranges that we’ve provided, Andy; I don’t -- if U.S. and Canada continue at third and fourth quarter pace, it would be probably towards the higher end of that range. And Europe a lot depends on how things develop in the economy over the coming months. So, I don’t have a comment which was say more risky than the other. I think we feel good about our ranges at this point.
Andy Casey - Wells Fargo: Okay, thanks. And then one last one and it’s along the same lines. If you look at the midpoint, it’s kind of low single-digit growth in both primary regions. And if you assume no dramatic market share shift in anywhere for you folks, does the modest sales growth suggest modest production growth? And the reason I’m asking is you’ve increase production pretty much sequentially for most of the year, so first part should have pretty good growth?
Ron Armstrong: Yes, I think we’re at a production level to support the current market conditions in U.S. and Canada. So assuming the market is near the -- within our range, I think we’ll see fairly steady production levels through next year. And Europe orders have been relatively steady and we’ve been producing at a pretty steady pace there. And so, we’ll see how things develop as we enter 2015. But our perspective is that the markets will be similar to up depending on how the economic conditions develop.
Andy Casey - Wells Fargo: Okay. Thank you very much.
Ron Armstrong: Thank you.
Operator: The next question comes from Andrew Kaplowitz with Barclays.
Ron Armstrong: Good morning, Andy.
Andrew Kaplowitz - Barclays: Good morning, nice quarter.
Ron Armstrong: Thank you.
Andrew Kaplowitz - Barclays: Ron, so maybe we can talk a little bit more about the European truck market. If you look at the data available for the important countries for you guys like the UK that you mentioned and Germany, the data looks still somewhat weak but maybe stable and a low level is more accurate and September did appear a bit better than July from the data that I see. So maybe you could talk about order book and inventory levels in the major European markets for you guys?
Ron Armstrong: Orders are -- I’d say they’ve been pretty steady the last couple of quarters and supporting our current build rates. And I don’t see anything that’s going to cause to change in the short-term. So what was the rest of your question, Andy?
Andrew Kaplowitz - Barclays: Inventory…
Ron Armstrong: Yes. Inventories both for our truck operations and our dealers are in great shape. Dealers have reasonable levels that are consistent with the current market conditions. I’d say that’s true not only in Europe but also in North America, and if anything dealers can probably use maybe a little bit more inventory in some of our North American activities.
Andrew Kaplowitz - Barclays: Okay, that’s helpful Ron. And then you talked about your parts related growth this year to be in the 5% to 8% range and it continues to pretty consistently be around 10%. So besides more difficult comparisons as your freedom service continues to get a larger, why wouldn’t parts continue to grow at least on the higher end of your previous range?
Ron Armstrong: Yes, I think as we now work to the point in the year, we’re 10% up year-on-year, so I think for the full year, we’ll be at the higher end of that range for the full year.
Andrew Kaplowitz - Barclays: And as we look in the ‘15 Ron, I mean again you’re going to put in new distribution. And it still seems like it’s pretty consistent growth there especially with the bigger fleet. Can we expect still at least mid single-digit growth?
Ron Armstrong: I would expect, our parts team does a great job of putting together innovative programs and services to support our dealers, customers around the world. So, I would think we would see some continued growth in the parts business as we progress into 2015.
Andrew Kaplowitz - Barclays: All right. Thanks Ron.
Ron Armstrong: Sure.
Operator: The next question comes from the line of Ann Duignan with JP Morgan.
Ron Armstrong: Good morning
Ann Duignan - JP Morgan: Hi guys. How are you?
Ron Armstrong: Great.
Ann Duignan - JP Morgan: Good. Maybe you could take a step back, you know that the vocational market is up about 5% year-to-date. Could you just break that down and give us some more color in terms of construction end markets versus oil and gas? And then what you’re seeing in other applications like long-haul versus short-haul? Just give us the more color on where you’re seeing the strength in demand.
Ron Armstrong: I would say that in the oil and gas area activity is steady, probably is the best way to say that year-on-year; probably have a little bit more growth in residential and commercial construction applications. And in the current environment, we would think that that would be the trend moving forward as well. Construction activity would continue to lead the vocational market until oil and gas pricing really recovers from its current level.
Ann Duignan - JP Morgan: Okay. And perhaps just the same question around fleet expansion; what kind of fleets are expanding, is it common either geographically or tie to oil and gas or not…
Ron Armstrong: No, Ann I’d say the economy is in the midst of long slow economic recovery and it’s -- all of the segments of the Class A business long-haul short-haul, they’re all responding within the same solid range of growth.
Ann Duignan - JP Morgan: Okay. So, no one end market or application specific to expansion of fleet?
Ron Armstrong: Which is great for PACCAR because we’ve got a very diverse product lineup; we’re strong in all of those segments.
Ann Duignan - JP Morgan: Indeed, indeed. And then just finally on Brazil, you normally tell us how many trucks per day you’re building, probably today where we’re going and the market doesn’t look great down there, so maybe talk about are you going to continue to proceed ramping up or would you consider curtailing production in the region?
Ron Armstrong: No, it’s early days for us and our build rates are steady and we anticipate being able to gradually ramp up build rates as we start into 2015. Our dealers get more of their final facilities in place and operational and we get contact with more and more customers, we have lots of demo trucks that are out with customers that they are testing and we’re getting traction really as we continue to go week-by-week, month-by-month. So, team has done a great job and we’ve got a great long-term opportunity in Brazil. So, the short-term situation in Brazil doesn’t really impact us.
Ann Duignan - JP Morgan: Okay. And I think you were at about 3 trucks per day at the end of the last quarter, where are you right now?
Ron Armstrong: Yes. We’re in a 2 to 3 truck range.
Ann Duignan - JP Morgan: Okay. I’ll leave it there. Thanks guys. Thanks for the color.
Ron Armstrong: All right. Thank you.
Operator: The next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs: Hi. Good morning.
Ron Armstrong: Good morning.
Jerry Revich - Goldman Sachs: I’m wondering if you could talk about how the warranty performance is tracking on the new products in Europe and I think the industry was just working through some electronics issues on engines in the U.S. Can you talk about how the quality performance has trended since the last time you spoke on the call?
Ron Armstrong: Yes. Products are great. The Euro 6 products have been very well received by our customers. Obviously, we continue to increase the penetration of engines in North America, 35%, 40%. So, I think we have 65,000 engines in the field these days. And so, the feedback on the engines all of our truck models around the world is excellent and warranty performance is just normal. So, products are doing great.
Jerry Revich - Goldman Sachs: And I know your [counting] is deliberately conservative on the warranty side, can you talk about over what time period you would expect the accrual rates to come down and to match that quality performance at least as of last quarter look like you’re running 80 basis points plus above normal accrual rates on the new introductions?
Ron Armstrong: Yes. I think warranty as I said is very normal. There is nothing unusual about our warranty rates. And so, I think we’ll see steady warranty as we go.
Bob Christensen: Steady improvement.
Ron Armstrong: Yes.
Jerry Revich - Goldman Sachs: Okay. And in Europe, can you just calibrate us since this was just a transition year. How much this year are your retail sales higher than your production rates on the numbers you shared with us year-to-date. How much higher would the retail sales for your dealers have been?
Ron Armstrong: One more time Jerry.
Jerry Revich - Goldman Sachs: Sure. So, retail sales for your dealers I’m assuming were higher than your production this year in Europe given the translation to Euro 6. Can you just talk about how significant that gap was your dealers now, how much do they bring down inventories post the Euro 6 transition?
Ron Armstrong: No, I think retail sales were pretty consistent with our production levels. Probably maybe a 1,000 trucks or so from the beginning of the year dealer inventory down to where we’re at today, but it’s nothing of significance.
Jerry Revich - Goldman Sachs: Okay. And lastly, you spoke about the CapEx and SG&A outlook, I’m wondering if you could just touch on R&D heading into next year you’re coming off of a couple of really significant new product cycles. Is there an opportunity for R&D to move lower in ‘15 and maybe ‘16?
Ron Armstrong: No, I think as we put our range for next year, we think it will be $200 million to $250 million somewhere very comparable to what we saw this year as we continue to invest in our new product line ups and engine efficiency, facility enhancements, new systems to support continuing to improve our business efficiency. So, I think R&D will be in that comparable level as we look at 2015.
Jerry Revich - Goldman Sachs: Okay. Thank you.
Ron Armstrong: Thank you.
Operator: Next question comes from Joel Tiss of Bank of Montreal.
Joel Tiss - Bank of Montreal: Hey guys. How is it going?
Ron Armstrong: Good.
Joel Tiss - Bank of Montreal: I think a lot of the operating stuff has been asked already, but I just wanted to ask a little bit about sort of the philosophy of your cash pile and the build-up. I think you’ve got a little less than $3 billion right now and between 2015 and 2016 you could easily generate another $2.5 billion of free cash flow. And I just wondered if sort of the number and the size of the projects that you already have on your plate plus your special dividend is enough to deal with that or is there any reason to do some new thinking about where you are and where we are in this cycle?
Ron Armstrong: Well, as we’re talking about capital expenditures for next year in $325 million to $375 million range, we’ve got a $0.22 per quarter regular dividend and we’ll take a look at what the year-end might bring with respect to special dividend payments. The Board will evaluate that and make a decision. And we continue to -- it’s a cyclical business, having a strong cash position is healthy for our company in industry. And we’ll continue to look at alternative uses; and obviously having a strong cash position and strong cash flow gives us a lot of flexibility to take advantage of situations that might arise. And we periodically from time-to-time will go in the open market and repurchase shares, so that’s always an option for us. So that will be our plan as we continue forward.
Joel Tiss - Bank of Montreal: All right. Thank you.
Ron Armstrong: Thank you.
Operator: The next question comes from Patrick Nolan of Deutsche Bank.
Patrick Nolan - Deutsche Bank: Good morning everyone.
Ron Armstrong: Good morning Patrick.
Patrick Nolan - Deutsche Bank: Most of my questions have been answered but I wanted to follow back up on the earlier pricing discussion to see if you expand on particularly what you’re seeing in pricing in Europe. Have we seen prices move up sequentially? Are you capturing more of the Euro 6 cost than you were earlier this year?
Ron Armstrong: No, I think pricing is pretty constant. It’s -- we have a great product lineup. We have a broad Euro 6 product offering. And so the customers are very appreciative of the great products. And so pricing has been I’d say fairly constant as we’ve moved throughout this year for Euro 6 products.
Patrick Nolan - Deutsche Bank: And your statement about pricing next year relatively constant as well that price for Europe as well?
Ron Armstrong: I think it’ll depend a lot on market demand and the amount of what the market size potential maybe. So at this point, I don’t see any significant ups or downs in price expectations for 2015.
Patrick Nolan - Deutsche Bank: Thanks. And I just had one follow-up on the Q4 shipments, I apologize if I missed it. Can you just discuss how you see shipments materializing for each region sequentially going into Q4?
Ron Armstrong: So, we talked about 5% to 7% increase in our fourth quarter deliveries with the majority of that coming from just increased workdays in Europe. Our European business has their traditional summer shutdown period during the third quarter. So, that gives us more workdays in the fourth quarter. And then we continue to see the benefits of the strong North American market.
Patrick Nolan - Deutsche Bank: Thanks very much.
Ron Armstrong: Thank you.
Operator: The next question comes from the line of David Leiker with Robert W. Baird.
David Leiker - Robert W. Baird: Good morning.
Ron Armstrong: Good morning David.
David Leiker - Robert W. Baird: I wanted to try and picture two items here, first on Brazil. Where are you on coming off the profit curve and breakeven in the region?
Ron Armstrong: That’s a long-term proposition for us where we do expect to ramp up our build rate in 2015; it’s held steady. Market conditions are -- it’s a challenging market but the opportunity for DAF to continue to gain traction and build this place in the market is great. And so we look for continued improvement in 2015 and beyond. And we’ll get to that breakeven point in the near term.
David Leiker - Robert W. Baird: Is anything as you ramp those, the drag on the numbers might become larger before it gets better or are we opening up on that?
Ron Armstrong: No, I don’t think so.
David Leiker - Robert W. Baird: Okay, great. And then just a little bit more color if we could on capacity utilization. Where are you in terms of shifts that you are running in your plants and build rates and things like that; anything you can share?
Ron Armstrong: Yes, I mean we’re producing at record build rates in our Chillicothe and Denton factories. We still have lots of opportunity to build more trucks and our Renton factory and Sainte-Therese in Canada. Our Mexico factory obviously has some additional capacity, in Europe we’re in great shape capacity wise. So, good shape really in all of our geographic areas.
David Leiker - Robert W. Baird: Are you running overtime anywhere?
Ron Armstrong: No, no scheduled overtime. So, we’re in good shape and all the capacity investments that we’ve made over the last five years have really positioned our facilities to be in great shape to support current market conditions, as well as reasonable growth prospects that may come.
David Leiker - Robert W. Baird: Okay, great. Thank you very much.
Ron Armstrong: Thank you.
Operator: The next question comes from the line of Bob Wertheimer with Vertical Research.
Bob Wertheimer - Vertical Research: Hi. Good morning.
Ron Armstrong: Good morning, Bob.
Bob Wertheimer - Vertical Research: So one quick one on Europe, just trying to sort through the pre-buy and I want a thought that you would have had I don’t know deeper overhang just given the geography of where you’re selling there for you 1Q might have been worse and would up come up 2Q and 3Q despite 2Q maybe some production shutdowns in August left off. So, I’m just curious if you see Europe trending a little bit worse because that overhang was there in 1Q and having not better if you see it steady, maybe I’m misunderstanding how your overhang works?
Ron Armstrong: Yes. I guess I’m not clear on what you mean by the overhang?
Bob Wertheimer - Vertical Research: Yes. So, 9,300 deliveries in 1Q, 9,200 in 3Q. And I would thought that that 1Q would have been the most depressed just given the pre-buy before that?
Ron Armstrong: I think as we look at -- build rates have been reasonably steady, I mean we took to build rates up in third quarter and fourth quarter of 2013 to support the demand for the Europe by pre-buy as we reduce that back down at the beginning of 2014. That build rate has been relatively steady at that level through the course of the year.
Bob Wertheimer - Vertical Research: Okay. That answers it. That answers. One other question, I’m not sure you will be able to address it, but I’m just curious given the strong success of your engine -- North America did it come with any launch or it’s been launched a while back down I guess. But any initial hesitation from customers that would have cost you to have a pricing strategy that’s less aggressive and then it proves out to be seemingly really high quality and working well is there opportunity to move the margin up on it?
Ron Armstrong: No, I think we had a well thought out pricing strategy with our engine when we launched it four years ago in 2010. We’ve stayed pretty consistent with our approach. And think the engine obviously provides great value for our customers, it provides a great option for them, it’s lightweight fuel efficient and reliable and durable. So, great engine. Like I said 65,000 engines in the field currently. And so, I think that’s again pretty stable outlook on sort of what we see as pricing and value for our customers.
Bob Wertheimer - Vertical Research: Thank you.
Ron Armstrong: Thank you.
Operator: Next question comes from the line of David Raso with ISI.
David Raso - ISI: Good morning. Thinking the build schedule for the Europe. I know with the days, it’s not the cleanest analysis, but I’m just trying to think about the build for fourth quarter versus third quarter. It would appear you will be over roughly 10,000 units. Is that the right way to think about the sequential?
Ron Armstrong: No. That’s fair.
David Raso - ISI: So with that, when I think of the first half of ‘15 and I guess really if you’re thinking your build schedule being steady, is there any reason to think from what you see in your order book right now that we can’t take our fourth quarter build schedule and think of it as at a minimum consequentially flat without the first couple of quarters next year was pretty healthy year-over-year growth in Europe?
Ron Armstrong: Yes. So, our current thoughts the market will be comparable to this year and that we hope to improve our share of that market as we look to 2015. And so, I think build rates will enter next year at rates comparable to where we’re at currently.
David Raso - ISI: And that’s always giving to your industry outlook is midpoint and also wide range, but up 2.3% but just taking your prior answer again if you run that build schedule from fourth quarter out, Europe a lot more than that, should we take that to mean some implicit thought about market share or again it’s a wide range it’s an early look?
Ron Armstrong: Yes. And when I say build schedule I am thinking about the daily build rate. And again, our daily build rate has been pretty steady throughout 2014 what has been a difference is the number of work days in the fourth quarter relative to the third quarter. 
David Raso - ISI: Okay. Last question, gross margins a little stronger than you had forecasted at the end of last quarter. What would be driving that in particular? I mean, was there any change on the build schedule versus what you thought was the particularly good mix. This doesn’t sound like pricing is necessarily giving it to you as a cost just trying to understand where that gross margin upside came from and how to think about that moving forward?
Ron Armstrong: Yes. Primarily it was the benefits of operating leverage, 11% up in terms of delivered volumes during the quarter and so really was the manifest of operating leverage.
David Raso - ISI: And I guess more specifically, the North American production upside, Europe builds were generally as you thought?
Ron Armstrong: Yes, Europe was and it was really the ability of the suppliers and facilities to deliver the ramp up plans very efficiently and very effectively.
David Raso - ISI: Okay. I appreciate it. Thank you.
Ron Armstrong: Sure. Thank you.
Operator: Question comes from Scott Group of Wolfe Research.
Ron Armstrong: Good morning.
Scott Group - Wolfe Research: Hey, thanks. Good morning to you guys. So, I wanted to ask about on the engine side, as you start doing booking orders for next year, are you seeing any further maybe material pickup in engine share on your side as you think that can get to kind of the 50% penetration number next year and how should that impact the gross margin?
Ron Armstrong: Well, I think we continue to see the increased penetration of our engines over time; in the third quarter, we were in a 35% to 40% range. And so I think deals continue to see a steady progression as time goes. And so 50%, at some point in the near term is not -- is certainly achievable. And as we increased utilization of our factory, there are some operating leverage benefits that come with that.
Scott Group - Wolfe Research: And have you seen -- how long after you sell a truck with a PACCAR engine is the aftermarket opportunity on that come through?
Ron Armstrong: Well, it starts when the engine gets put in service, but that ramps up over time. And so as we increase the number of engines in the field, that aftermarket benefit really starts to take again two to three, four years. So the part stream has a little bit longer tail, the service opportunities because it’s a captive engine and will be serviced at Kenworth and Peterbilt dealer provides good near-term opportunity for our parts organization to sell parts that are also installed in different service intervals. And so the service captivity is an important piece of the engine strategy.
Scott Group - Wolfe Research: Okay. And then last one for you Bob, not a big data on things but that any preliminary thought on pension as a potential headwind for next year?
Bob Christensen: Yes, I would just say that our pensions are fully funded and the contribution rates are steady and we don’t really expect a much of change from that.
Scott Group - Wolfe Research: I was just saying on the expense side from where it is coming but you say nothing material?
Bob Christensen: Yes.
Scott Group - Wolfe Research: Okay. Thank you, guys.
Ron Armstrong: Thank you.
Operator: The next question is from Alex Potter with Piper Jaffray.
Ron Armstrong: Good morning, Alex.
Ashley Lee - Piper Jaffray: Sorry. This is Ashley Lee in for Alex. The first question is on margins in the financial service statement. And we saw an improved margin in Q3. Can you maybe talk about how sustainable those margins are on a go forward basis?
Bob Christensen: And how are you measuring margins?
Ashley Lee - Piper Jaffray: We’re taking the -- one second here. We’re taking the gross profit by the revenue.
Bob Christensen: Okay. So the…
Ashley Lee - Piper Jaffray: Gross profit margin.
Bob Christensen: Okay. So, the revenues minus the cost. So, part of that is obviously we’re A+ rated borrower and so we have -- able to borrow at very competitive rates and we were able to support our dealers and our customers for them at very cost effective rates to support our business. Part of the reason for that improved margin is the fact that market rates are trending down and so the revenue number and the cost number both are going down. And so it sort of creates a higher margin percentage just because of market rate movements.
Ashley Lee - Piper Jaffray: Okay, got it. Thank you. And then just another question on the outlook in Europe. Lastly WABCO also reported, they expect flattish demand and growth in Europe with the productions forecasts out up 3% to 8% for 2015. I was wondering if you can maybe talk about what your 2015 outlook in terms of production growth?
Ron Armstrong: I think our market estimate for Europe you were talking about 210,000 to 220,000 this year and next year 200,000 to 240,000. We would expect DAF to earn its typical share of that market and so that will be indicative of production. So, I don’t think there is any big difference between sort of market registrations and our production for either year.
Ashley Lee - Piper Jaffray: Okay. Thank you very much.
Ron Armstrong: Thank you.
Operator: Question comes from the line of Adam Uhlman with Cleveland Research.
Adam Uhlman - Cleveland Research: Yes. Hi guys.
Ron Armstrong: Good morning Adam.
Adam Uhlman - Cleveland Research: I was wondering if you could talk about what you’re seeing in Eastern Europe and Russia?
Ron Armstrong: Well, our deliveries in Russia this year will be lower than last year effective of some of the uncertainty that exists in that region, but we continue to sell trucks. We’ve got a great and growing dealer network in Russia. And so we see it as a great long-term market for us, but certainly impacted this year by what’s going on in the region and you see that in some of the other areas. The other areas of Eastern Europe we continue to grow our business there and again see that whole region as a great long-term opportunity for DAF.
Adam Uhlman - Cleveland Research: Okay. And then what proportion of your DAF volume is going to be non-Euro 6 for the year do you think?
Ron Armstrong: It’s probably in the 10% to 20% range for the year for Euro 5 and other emissions levels.
Adam Uhlman - Cleveland Research: Okay. Great. Thank you.
Ron Armstrong: Thank you.
Operator: Question comes from the line of Neil Frohnapple with Longbow Research.
Neil Frohnapple - Longbow Research: Hi. Good morning guys and congrats.
Ron Armstrong: Thank you.
Neil Frohnapple - Longbow Research : Regarding used truck pricing in North America, what are you seeing in the market and do you think where (inaudible) and just any other color you can add there and how that will potentially impact the new truck side?
Ron Armstrong: Well, the used market has been very good throughout this year, up 5% to 10% year-on-year. And so it’s -- there is no signs of that being significantly different in the near-term. So, used truck prices are near all-time highs and we’re benefiting from that in our finance operations.
Neil Frohnapple - Longbow Research: And then can you speak to any early signs on the 11-liter MX engine launch in Europe and wondering if you can just update us on your plans for timing of the launch in North America?
Ron Armstrong: Yes. So, the plans for launching in North America early 2016. The feedback in Europe has been excellent. I was in Europe in September and met with some customers and dealers and the benefits that engine provides in terms of payload, capacity, the weight, the efficiency of the engine in terms of improved fuel efficiency. It’s great for a lot of customer applications. And so, as we see downsizing becoming a growing trend in Europe, the MX-11 is being very well received and we’ll have the launch here in 2016 and we think that will be a nice addition to our engine offerings in North America as well.
Neil Frohnapple - Longbow Research: Great. Thank you very much.
Ron Armstrong: Thank you.
Operator: Question comes from the line of Ted Grace with Susquehanna Financial.
Ted Grace - Susquehanna Financial: Hey guys, I was hoping to follow-up on David’s question on Europe. And I know the range you gave is kind of down, call it down mid singles to up high singles. Could you maybe speak to your key markets in Europe and whether you expect those to outgrow and that might help bridge kind of your build rate versus what you jump into next year with versus year-to-date?
Ron Armstrong: So, the UK, the Netherlands, Belgium sort of our home markets if you will. Got impacted a fair amount of the Euro 5 pull forward and Netherlands and UK had unique transition rules. So, those markets are down quite a bit this year compared to 2013. And the expectation for next year is that those markets will see some growth which will benefit DAF both in terms of production volumes and share position. We’re very strong in Central European countries, market leader in Central Europe. And so, I think we’ll continue to see reasonable growth in Central Europe as we go forward. So, I feel DAF, again DAF Euro 6 product has been very well received; the MX or the MX-11 engine has been very well received. So the product line up is as broad and as it never has been and so DAF is well positioned to continue their march towards the 20% market share in the mid-term.
Ted Grace - Susquehanna Financial: Okay. So when you overlay your footprint in those dynamics relative to your plus 2% market growth, you should out grow the market by a meaningful portion correct?
Ron Armstrong: There is potential there for sure.
Ted Grace - Susquehanna Financial: Okay. And then the second thing I wanted to ask was on the U.S. outlook. You’ve got the midpoint of 2% next year. Could you just maybe about how you’re thinking about the on highway market versus the vocational, the relative growth rates, which would be above 2%, which would be below 2% in your forecast?
Ron Armstrong: I don’t think -- we haven’t got that precise with our outlook. I’d say that we expect both markets to continue to grow in the short-term, obviously the long-term we’ll see how things develop. But right now, I think we see as Bob mentioned earlier, the improving construction market conditions will support vocational growth in the short-term and record freight tonnage obviously supports the long haul and less than truckload business as well as in the short-term.
Ted Grace - Susquehanna Financial: But the freight side is facing tougher comps. So just intuitively it makes sense to think vocational should grow to faster rate, would that be fair assumption?
Ron Armstrong: Again, I don’t -- we haven’t thought that precisely about growth expectations.
Ted Grace - Susquehanna Financial: Okay. Thank you very much. Good luck this quarter guys.
Ron Armstrong: Thank you.
Operator: Next question is from Seth Weber with RBC.
Seth Weber - RBC: Hey, good morning everybody.
Ron Armstrong: Good morning.
Seth Weber - RBC: Just a couple of quick tie up questions. Just going back to Brazil, have you heard anything about the government subsidies, what their plan is there; I guess post election or how that’s looking for 2015?
Ron Armstrong: Well obviously with the Rusev administration continuing and we expect that those subsidy arrangements will continue, I think there will be some discussions in the coming weeks and months about what exactly those terms and conditions will be. But our expectation is that those will continue in at least a similar form or fashion just to what they have currently.
Bob Christensen: We expect to hear the details of the new program in December.
Seth Weber - RBC: In December, okay, so you don’t anticipate any interruption into next year?
Bob Christensen: We don’t think so.
Seth Weber - RBC: Okay. And then just on the Finco given kind of the low interest rate environment, are larger percentage of customers relative to history using the Finco and how do you handicap what would happen in that business if rates did go higher?
Ron Armstrong: Over time, the market share penetration, so the percentage of PACCAR trucks that are finance and leasing companies supported then in the 28% to 30% range. And so I think we would continue to expect to see it in that range. Our team provides really strong customer service. We’re dedicated to the transport industry. So the increased level of customer service and technology that we have to support the business is beyond what others can offer. So I think we’ll continue to see it in that range.
Seth Weber - RBC: Okay, that’s all I had. Thank you very much.
Ron Armstrong: Thank you.
Operator: And the question comes from the line of Jeff Kauffman with Buckingham Research.
Jeff Kauffman - Buckingham Research: Thank you very much. Hey guys congratulations. Terrific quarter. A lot of my questions has been answered at this point, so let me just as a softer one here. In terms of the ASP and the improvement you’re seeing there, how much of that’s coming from customers, how many you say I listened, I just want different specs on my truck and here is how I want to expect and maybe look at what your heavy duty buyers are asking for versus medium duty and I know there is a lot of different kinds of markets there versus you’re going out there and saying look the base truck is just (inaudible).
Ron Armstrong: Well, when you say ASP I guess you’re talking about average selling price just to make sure we’re right.
Jeff Kauffman - Buckingham Research: Right. And I understand that that’s kind of a residual fall out between revenues you’re generating and units you’re selling.
Ron Armstrong: Well, our discussions with our customers are all based on the value that we provide to them to meet their needs and each customer is different and their expectations and demands may change overtime. So, it’s a very dynamic pricing environment and we price our product to earn fair return and provide them a great product that they can have the lowest lifetime operating costs for their operation.
Jeff Kauffman - Buckingham Research: All right. Let me follow-up a different way. At the dealership level with the Parts and Service business being so strong, how was the absorption rates at your dealer levels trending right now and where do you think you’re going to be in terms of dealer inventory?
Ron Armstrong: So absorption rates are trending up. Our dealers are performing excellently and taking advantage of the high freight levels and providing great service, extending their hours of service, opening new facilities. So, you see the benefits of that in their business. Their inventories are in great shape. And as I mentioned earlier, in fact maybe they are bit too low from where maybe the optimal situation might be. But dealers are doing very well in North America, as well as in Europe.
Jeff Kauffman - Buckingham Research: Okay. Big questions have been answered, so thank you for the follow-ups guys.
Ron Armstrong: Thank you.
Operator: There are no other questions in the queue at this time. Are there any additional remarks from the company?
Ron Armstrong: I’d like to thank everyone for their excellent questions. And thank you, operator.
Operator: Ladies and gentlemen, this concludes PACCAR’s earnings call. Thank you for participating. You may now disconnect.